Operator: Greetings, and welcome to the KORE Group Holdings Second Quarter 2025 Earnings Call. [Operator Instructions] Please note that this conference is being recorded. I will now turn the conference over to your host, Vik Vijayvergiya, Vice President, Investor Relations and Corporate Development. Thank you. You may begin.
Vik Vijayvergiya: Thank you, operator. On today's call, we will refer to the second quarter 2025 earnings presentation, which will be helpful to follow along with as well as the press release filed this afternoon that details the company's second quarter 2025 results. Both of these can be found on our Investor Relations page at ir.korewireless.com. Finally, a recording of the call will be available in the Investors section of the company's website later today. The company encourages you to review the safe harbor statements, risk factors and other disclaimers contained on this slide and today's press release as well as in the company's filings with the Securities and Exchange Commission, which identify specific risk factors that may cause actual results or events to differ materially from those described in our forward-looking statements. The company does not undertake to publicly update or revise any forward-looking statements after this webcast. The company also notes that it will be discussing non-GAAP financial information on this call. The company is providing that information as a supplement to information prepared in accordance with accounting principles generally accepted in the United States or U.S. GAAP. You can find a reconciliation of these metrics to the company's reported GAAP results in the reconciliation tables provided in today's earnings release and presentation. I'll now turn the call over to Ron Totton, the company's President and Chief Executive Officer.
Ronald Totton: Thank you, Vik, and good afternoon, everyone. Before we begin, I'd like to take a moment to introduce our new Chief Financial Officer, Anthony Bellomo. He is a seasoned financial leader with an understanding of our industry and a successful track record of finance operations, strategic financial planning and capital allocation. We are confident that his expertise will be invaluable as we continue to execute on our growth strategy and deliver long-term value for our shareholders. I'm excited to have him as part of our leadership team as he has hit the ground running, and I look forward to the contributions he will make. For today's call, I'll provide an update on the company's business highlights for the second quarter and then turn the call over to Anthony to go through the financial results, after which I will share our current view on the financial guidance for 2025 before turning over the call to the operator for Q&A. I'm excited to share our results for the second quarter. First, we delivered steadily improving operating performance with solid growth in both revenue and profitability. This is the result of our relentless focus on execution and our commitment to driving profitable growth. Our total revenue for the quarter grew to $71.3 million, an increase of $3.4 million over the same period last year. This upward trend is a direct result of our growing number of connections and key customer wins. Next and just as important is our profitability. And while we had a substantial improvement in net profit, more importantly, our adjusted EBITDA rose by $5.3 million to reach $16.7 million. This demonstrates that we are not just growing, but we are growing profitably and our focus on operational excellence is paying off. Next, I want to highlight what I believe is one of the most important indicators of our company's health, our improvement in cash flow and in particular, our free cash flow. This quarter, we generated $1.6 million in positive free cash flow, marking our third consecutive quarter of doing so. This sustained cash generation strengthens our balance sheet, reduces our reliance on external capital and gives us the financial flexibility to strategically reinvest in our business to accelerate our leadership position. In summary, the financial narrative of this quarter is clear. We are delivering consistent revenue growth, improvements in profitability and generating sustainable free cash flow. As I mentioned previously, our execution is guided by our 5-pillar value creation plan. This is our blueprint for building a world-class company. And on this slide, you can see tangible proof of the progress we're making across every pillar. Let's start with profitable growth. We've delivered 3 straight quarters of positive cash flow, crossed the 20 million connection milestone while improving our IoT Solutions gross margin. This is the core of our strategy to grow in a smart, sustainable and profitable way. That growth is fueled by product innovation. In a fast-moving industry like ours, standing still is not an option. We're leading the way with our Super SIM offerings and preparing our customers for the future with SGP.32 readiness. Our wins in the highly regulated connected health space are a direct result of this forward-thinking approach, proving that our innovation is solving real-world challenges for our customers. And this all comes together in service of our most important pillar, customer intimacy. Our goal is to be loved by our customers and to be the easiest company to work with in the IoT industry. We're unifying the customer experience on our KORE One platform and have introduced KOREY, an AI-powered live assistant to provide instant customer support. We are constantly listening to our customers and launching enhancements to make managing their IoT deployments simpler and more intuitive. In our pillar of operational excellence, we're continuously strengthening our KORE operations to support our scale. This quarter, we've made key infrastructure and technology upgrades and launched an enhanced customer support process to serve our customers better and faster. Furthermore, we are embracing the future by deploying 8 distinct AI initiatives across the company aimed at enhancing everything from customer experience, revenue growth as well as our own internal efficiency. Of course, none of this would be possible without a winning team. We're making strategic investments in our people, the heart of KORE. Through initiatives like our values relaunch and new learning and development and recognition programs, we're building a culture of excellence and empowering our team to do their best work. As you can see, our progress is balanced and comprehensive. This is the KORE value creation plan in action, and it is the engine that will continue to drive our success. Diving a bit deeper into our KORE business, this slide clearly illustrates steady foundational growth in our IoT Connectivity segment. The key metric here is our total connections, which grew by a robust 8% year-over-year to surpass $20.1 million. This is the engine of our recurring revenue model and its growth is a testament to our ability to both win new customers and expand the share of wallet within our existing customer base. Naturally, this healthy growth in connections translates directly to our top line, driving the steady increase in our IoT Connectivity revenue. While our results are strong, our sales momentum is what gives us such confidence in our future. It shows the health of our sales engine, which we measure in estimated annual recurring revenue or eARR. This is our forward-looking metric for new expected recurring revenue. There are 2 key stories here. First, our total pipeline of opportunities grew to $84.6 million this quarter. This is the fuel for our future growth. And critically, this increase is being driven by new logos, which tells us that our value proposition is resonating in the market, and we are successfully capturing new demand. Second, we converted $10.2 million of that pipeline into closed won eARR. This is brand-new committed annual recurring revenue that will layer into our financials over the coming year. What's more, this success is balanced. We are winning new logos while also successfully expanding our relationships with existing customers, which validates our account penetration strategy. This gives us visibility and a growing degree of confidence in our ability to deliver sustained, predictable revenue growth well into the future. The numbers and graphs we just reviewed are important, but this slide shows how we are achieving them. This is the story behind the numbers. These 4 recent wins are excellent examples of our strategy in action and why customers are choosing KORE. First, with a leading AI-driven security provider. We won by acting as a true strategic partner and leveraged our deep OEM relationships and technical expertise to help them navigate a complex competitive environment and accelerate their time to market. This is a perfect example of how we provide value far beyond our connectivity. Next, a win with a major telematics hardware provider. This is a story of technological leadership. We solved their critical coverage challenges with our multi-carrier Super SIM, provided advanced VPN capabilities to secure their data and position them for the future with our SGP.32 solutions. According to this customer, we won because our technology is simply more powerful and more flexible than the competition. The win with a global virtual fence provider came down to product reliability. Our OmniSIM reach delivered performance so reliable that the customer described it as it just works under all circumstances, which is the highest praise you can get in the world of IoT. It demonstrates the power of our global roaming capabilities and strong carrier partnerships. And finally, I want to highlight another win in the Connected Health space for a remote patient monitoring customer. For this customer, we helped eliminate the complexity of managing multiple carriers through our single SIM, multi-carrier solution. Our unified approach was critical given the work requirements with major health care systems. Customers aren't just buying connectivity. They're choosing KORE for our strategic expertise, our superior technology, our global reliability and our IoT managed services. This is how we are winning, and this is why our pipeline continues to grow. And now I will turn the call over to Anthony to cover the financials in more detail.
Anthony Bellomo: Thanks, Ron, and thanks to those joining us this evening for our second quarter results. Total revenue for the second quarter increased $3.4 million or approximately 5% year-over-year to $71.3 million. Breaking revenue down by business lines, IoT Connectivity revenue increased 1% to $56.1 million due to our increased number of connections. IoT Solutions revenue increased 25% to $15.2 million, driven by strong sales of connectivity-enabling hardware and services. Overall, non-GAAP gross margin in Q2 2025 was 56.9% with the second quarter of the prior year. By business line, non-GAAP IoT Connectivity gross margin was down slightly to 60% from 60.9% in the prior year due to the mix of revenue. Non-GAAP IoT Solutions gross margin was up 682 basis points year-over-year to 45.3%, primarily due to certain high-margin sales in the second quarter of 2025. We expect non-GAAP IoT Solutions gross margin percentage to return to historical averages in the future. Total connections at the end of the second quarter were 20.1 million, an increase of 1.5 million year-over-year. Average revenue per user per month, or ARPU, for the current quarter was $0.94 compared to $1 in Q2 2024. The decrease in ARPU year-over-year was due to the recent additions to connections coming from lower ARPU use cases. DBNER for the 12 months ended June 30, 2025, was 99% compared with 92% in the prior year. The increase in DBNER was mainly due to the stabilization of revenue over the past 12 months versus the previous year. As a reminder, DBNER is similar to same-store sales as it measures the growth of existing customers in the trailing 12 months compared to the same customer cohort in the year ago period. Operating expenses in the second quarter were $44.6 million, a decrease of $70.8 million compared to Q2 2024. Included in the second quarter of 2024 is a noncash goodwill impairment charge of $65.9 million. Excluding this charge, operating expenses decreased by $4.9 million, largely due to a foreign exchange gain of $3.5 million in the second quarter of 2025 and savings from restructuring actions taken in the last 12 months. This was partially offset by a $2 million decrease in the capitalization of internal labor. Net loss in the second quarter was $16.9 million compared to $83.6 million in the prior year. The decrease in our net loss of $66.7 million year-over-year was primarily attributable to the $65.9 million goodwill impairment in Q2 2024, along with the other factors previously discussed. In addition, we recorded other income of $3.8 million in Q2 2025, primarily due to other income from an employer tax credit related to prior years. Adjusted EBITDA in the second quarter was $16.7 million, an increase of $5.3 million or 46% compared to the prior year. The $5.3 million increase in adjusted EBITDA was primarily attributable to lower operating expenses due to stronger expense management, increase in other income as well as stronger gross profit due to higher revenue levels as discussed above. Finally, moving to cash flows. Cash provided by operations in the second quarter was $4.1 million as compared to cash provided by operations of $4 million in Q2 2024. Free cash flow, measured by cash provided by operations less cash used in investing activities was positive $1.6 million in Q2 2025 compared to negative $0.1 million in the prior year quarter. Free cash flow was positive for the third consecutive quarter and is expected to continue to be positive for the rest of 2025. As of June 30, 2025, cash and restricted cash was $21.3 million (sic) [ $21 million ] compared to $22.6 million (sic) [ $22.3 million ] as of June 30, 2024. And with that, I'll pass it back to you, Ron.
Ronald Totton: Thank you, Anthony. Let's now look forward. On this slide, you'll see we are reiterating our full year guidance for 2025. Before I walk through the numbers, I want to frame them within the context of the broader market environment. The macro landscape is indeed complex. We're seeing some economic uncertainty globally and new tariffs are impacting the supply chains of some of our customers. However, KORE's business model is resilient, and we have very limited direct impact from these tariffs. Our focus remains on helping our clients navigate this environment with robust mission-critical connectivity and in some cases, the ability to source devices or components from alternative suppliers, helping them navigate several supply chain constraints. More broadly, the outlook for our industry remains incredibly strong. Independent analysts are consistently forecasting strong growth for the IoT market with CAGRs ranging from 9% to over 10.5% for the foreseeable future. It is a powerful secular growth trend, and KORE is perfectly positioned to capture this demand. Finally, we recognize the significant shifts happening in the tech landscape around AI adoption and workforce changes. Our approach is strategic and deliberate. As you saw in our value creation plan, we are proactively implementing AI to drive efficiency for our teams and accelerate business growth while simultaneously investing in our winning team pillar. We are building a company for the long term with a strong culture that embraces innovation. So it is with this full understanding of the opportunities and challenges that we reiterate our 2025 guidance. We expect revenue in the range of $288 million to $298 million. We expect adjusted EBITDA between $62 million and $67 million, representing a powerful 19% year-over-year growth at the midpoint. And underscoring our commitment to financial discipline, we project free cash flow between $10 million and $14 million. Our guidance is a direct reflection of the momentum you've seen today, the strength of our pipeline and the disciplined execution of our value creation plan. We are confident in our ability to deliver on these commitments and create significant value for our shareholders. Before we open the line for questions, I want to build on a point I made last quarter about our team's determination. It's been very rewarding to see that same focus translate directly into the strong, consistent results we've shared with you today. The progress we're making is a direct reflection of our employees' hard work and their clear commitment to serving our customers. So to the entire KORE team, thank you. Your contributions are the foundation of our success, and they are genuinely appreciated. With that, we will now open the line for questions.
Operator: [Operator Instructions] and our first question comes from Jonnathan Navarrete with TD Cowen.
Jonnathan A. Navarrete: Good job on the quarter, guys. You mentioned that while you're not facing any tariff-related or very limited tariff-related headwinds that some of your clients are. And I'm just wondering, how are you guys gauging the possibility of some of your clients potentially pushing back some of the projects they're working on with you guys into 2026?
Ronald Totton: Yes. Thanks, Jonnathan. Yes, the -- I mean, I guess I would say that it's not a perfect science here. I think what we're finding is the demand from the customers isn't changing. In fact, I think if we look at where we were the same time last year, we're up definitely double digits in terms of SIM demand, for example. I think what we're seeing is they're coming to us with our expertise in the solutions business on helping them source alternative suppliers or, again, just looking into the supply chain and some of the challenges they're having. At this point, we're not seeing any projects canceled. And I think that in terms of our customers, the orders of new connections are strong. So we're really not seeing any customers or certainly any kind of trend that's evolving whereby projects are being canceled or certain verticals, there's softness. We haven't seen that as of yet. But again, it's still early days. I think our larger global customers are the ones that are -- that it's impacting most, which would be very obvious to everybody, right? And we're not seeing products being canceled or project delays and so forth. But thanks for the question.
Jonnathan A. Navarrete: Sure. And just one more on my end is any particular milestones that you guys are working in the back half of 2025 that are most critical to set up a stronger growth trajectory into 2026?
Ronald Totton: Yes, sure. Yes. I think for us, we talk in our value creation plan sort of our 5 pillars. And so I would say that our milestones and priorities are sort of directly kind of laid out there. To me, maybe just in terms of the ones that are top of mind for me, growth is, I would say, #1 priority in this case. So pipeline growth, growth and closed won eARR. We'd like to see connections pushing up past $21 million before the end of the year. And I'd say that would probably be the primary -- sort of primary where the focus is. I think we also have 3 fairly significant, what I'll call, tech-related projects that we want to conclude in the second half of the year, both in terms of product, but also infrastructure that are really important to support our growth. So those would probably be the ones that are top of mind.
Operator: And that's the end of the question-and-answer session. I'll now hand it back to Ron Totton for closing remarks.
Ronald Totton: Well, thank you, everyone, for joining today's earnings call. We look forward to updating you next quarter on our progress in the third quarter of 2025. Have a great night, and thank you for your time. Good night.
Operator: Thank you. And this concludes today's conference. All parties may disconnect. Have a good evening.